Operator: Thank you for standing by, and welcome to the Paladin Energy Limited December 2025 Quarterly Results Call. [Operator Instructions] I would now like to hand the conference over to Mr. Paul Hemburrow, CEO. Please go ahead.
Paul Hemburrow: Thank you very much, and hello, everyone. Thank you for joining us today. With me is Anna Sudlow, our Chief Financial Officer; Alex Rybak, Chief Commercial Officer; Melanie Williams, Chief Legal Officer; Scott Barber, Chief Operating Officer; and of course, Paula Raffo, Head of Investor Relations. I'll provide a brief overview of our Q2 performance, focusing on Langer Heinrich, our progress in Canada and specifically at Patterson Lake South development and our financial position before opening for questions. Let me begin by saying it was a very strong quarter for Paladin, and we couldn't be more pleased with the results. At Langer Heinrich, we produced 1.23 million pounds of U3O8, a 16% increase in the prior quarter as ramp-up continues to build momentum. We delivered sales of 1.43 million pounds at an average realized price of USD 71.80 per pound, reflecting the quality of our contract book and the improving uranium market conditions. Based on the strength of performance in the first half of the year, recognizing it is a ramp-up year and we have yet to commission the new fleet, we continue to expect full year production to trend towards the upper end of our 4.0 to 4.4 million pounds guidance range. Safety and environmental performance remains strong, over the trailing 12 months, we recorded an average total recordable injury frequency of 2.9%, and we had no serious environmental or radiation incidents during the quarter. Operationally, mining activities continue to ramp up with increased ore availability, feeding directly into higher grades and stronger plant performance. The average ore feed grade increased to 524 parts per million and plant recovery reached 91%, underpinning the step-up in production. Half of the new fleet arrived prior to Christmas and the remaining mining fleet is due to arrive on-site very soon, keeping us on track to complete the ramp-up by the end of FY 2026 and transition to full mining operations in FY 2027. Costs trended positively as volumes increase, the cost of production reduced to USD 39.70 per pound. On the sales side, quarterly volumes and pricing reflect contract delivery schedules and customer nominations and the average realized price of $71.80 per pound highlights the strength of our contract book. In Canada, we continue to advance the high-quality PLS project. At Patterson Lake South, winter drilling mobilization was complete and drilling commenced in January. The program is focused on resource conversion, extension of Triple R and regional exploration supporting long-term development opportunities there. We also continue constructive engagement with the regulators and indigenous partners regarding the EIS and remain confident of a timely outcome. Following the completion of the share purchase plan and debt facility restructure, we ended the quarter with USD 278 million of cash and investments and a fully undrawn USD 70 million revolving credit facility. This provides Paladin with substantial flexibility to advance PLS towards FID and support the final phase of the Langer Heinrich ramp-up. We also strengthened our leadership team during the period with Dale Huffman appointed as President of Paladin Canada. And of course, Scott Barber commencing as Chief Operating Officer earlier this month. In summary, the first half of FY 2026 demonstrates Paladin Energy's capability to execute. Langer Heinrich is performing strongly. Production is building towards the top end of guidance in preparation for full mining and production capacity by the end of FY 2026. Our contract book is delivering solid pricing outcomes, our balance sheet positions us to execute on a multi-decade uranium production strategy. I appreciate your time today, and I'm happy to hand over to any questions.
Operator: [Operator Instructions] Your first question today comes from Henry Meyer from Goldman Sachs.
Henry Meyer: Thanks for the update. It's been another strong quarter cost performance below guidance, so mining is still to come, of course. I hope you could add some color on expectations for unit cost coming in the second half? If costs remain within guidance overall, and we produced 4.4 million pounds. We might be looking at sort of low 50s in the second half. Is that sort of the run rate you're expecting going forward and into FY '27?
Anna Sudlow: Thanks for the question, Henry. We're still maintaining our guidance on costs. You're right in that we've had a really good quarter this quarter. There will be an increase in cost of production next quarter as a result of mining. It's obviously a function of volumes as well. But at this point, we are maintaining our position on the guidance range on cost of production.
Henry Meyer: Great. And on production then in the second half, run rating above the top end of the guidance now, could you maybe just step through some of the key assumptions as you ramp up production over Q3 and Q4, that would maybe limit you from exceeding guidance?
Paul Hemburrow: Look, Henry, there's a couple of things there. Thanks for the question. First of all, it is a ramp-up year. And the goal of this year is really get us to full production for FY 2027. Yes, we've had a very strong quarter, underpinned by uplift in tonnes processed. The ore feed grade increased out to 524, and in fact, recovery is above our target range of 85% to 90%. Our expectation is now that we start commissioning the new fleet, we've got some fleet optimization to do. And there's 6 months to go, it's probably a bit early to call the full year. But the goal really is to drive a level of consistency in our performance to deliver that full production rate by the end of this financial year.
Operator: Your next question comes from Alistair Rankin from RBC Capital Markets.
Alistair Rankin: Congrats on the strong results. First question, just following on from your last comment about recovery rates. They improved by about 5% to the highest level, I think, since the restart. So is there anything specific you can point to that drove that improvement?
Paul Hemburrow: Alistair, one of the things that I think is a real feature of Langer Heinrich is when it's -- when it has very consistent feed, you're able to tune the process to make sure that our recovery rates have stabilized. And I think since we introduced mining, we've been able to improve the consistency of feed in terms of material type and grade. And the team has done a terrific job dialing in recovery. My expectation is that we continue to recover in that 85% to 90% range. But they've just done an extraordinary job in the last quarter, hitting the 91%.
Alistair Rankin: Understood. And then just a second one on your cash flow costs. So looking at Slide 6, it looks like your total costs were around $62 million when you include the stockpile build and also the stripping. So in FY '27, what do you think that we'll see that roughly once your mining activities ramped up materially maybe on a per quarter basis?
Anna Sudlow: So I think the intent is to provide guidance in July this year on FY '27, as was described, we are in ramp up this year and the intent is to get to full production by the end of this year, which will inform our FY '27 guidance.
Paul Hemburrow: I might just add to that, Alistair. We've got a bit of optimization to do, particularly around the mining fleet, also some mine plan optimization that will lead us into the budget program and shortly thereafter, we'll be able to provide full year guidance on FY '27.
Operator: Your next question comes from Daniel Roden from Jefferies.
Daniel Roden: Just following up on the quarter. Obviously, had higher ore and lower waste. It seems like relative to your expectations, even. I just wondered like what was the, I guess, delta there? Is that a reconciliation issue in the pit, like obviously, a positive reversion, but how do you think about that going into the next few quarters? It seems like it's -- do you have a catch-up waste volumes that you're targeting in second half? Is there a higher strip that we need to be modeling in and factoring and thinking about? Like how do we think about that?
Paul Hemburrow: Yes. You're a bit difficult to hear there, Daniel. But let me sort of answer I think, answer the question. So you're right. We probably mined a little bit out of sequence, but total mine material is absolutely spot on, no material difference in the last 2 quarters. Waste is probably a tad lower and a little bit higher on low grade. But the medium grade ore was pretty much spot on. So slight difference in sequencing no overall material difference. And we'll continue to follow the mine plan. One of the big differences, of course, for the second half is bringing in the new fleet, 140-tonne trucks. That gives us significantly more stripping capability and haulage capability. We're currently at 49% of the mining fleet. That will shift to something like 110% early or later this quarter. And we'll pull that back to 100% of our capacity through an optimization. So we'll continue to follow the mine plan, and their expectation is that will bring us in at the top end of that guidance range.
Daniel Roden: Yes. Okay. I guess, reason, I guess, one, for asking is, I guess my assumption is that looking at MG3, the medium low-grade stockpiles are largely complete, the total material volume was a little bit up, but not materially up so when that fleet is commissioned that increase in volume, you should be expecting, I guess, an equivalent increase in medium grade delivered to the mill. Would that be the right way of thinking about it? And I guess from that, the mill feed is consistent quarter-on-quarter and the grade is relatively consistent from the current quarter and you transpose that out, again, like what's giving you -- what's the lack of confidence in increasing guidance?
Paul Hemburrow: Yes. The answer to the first half of your question is yes, you're about right. In terms of the second half, it's still a ramp-up year. And commissioning the fleet pretty much means recruiting, training, we've still got an excavator to arrive in site and building the excavator, there's a fair bit of work to do to actually put it all together. We've got 10, 60-tonne ODC, we'll need to optimize those and take some of that capacity out. We've got a 100 tonne fleet, 3 fleets operating really well. But Daniel, it's an outdoor sport and anything can happen. So we're going to follow the plan, and we're sticking to guidance. But the main game is delivering full production by the end of this financial year, making sure that we roll into FY '27 with 100% capability in the mine, 100% capability in the plant to deliver in FY '27.
Daniel Roden: Yes. Okay. noted. And if I can slip just an accounting one in here. If I look at your cash flow waterfall, you've got $60 million of product costs in the quarter. And that if I back calculate the $39.7 per pound, that gives me $48 million. What's my delta between those 2 figures?
Anna Sudlow: So that production cost has got your low-grade stockpile in it, Daniel. I'm not sure if you're taking that into account. But if you want to talk through that, we can take that off-line post the call.
Operator: Your next question comes from Regan Burrows from Bell Potter.
Regan Burrows: Congratulations on a good result. Just first question I had was around the grade coming out of the pits, whether it's sort of in line with what you expected? And I guess how that blend strategy is going and went during the quarter. Did you sort of find that you're feeding in more fresh ore into the mill or is it still sort of a blending process going forward?
Paul Hemburrow: Yes. Good question, Regan. The mine and like most mines, we'll have some sort of blend strategy based on the -- both the grade and the ore type that's delivered. And Langer Heinrich is no different. If we were to feed 100% fines, then we'd probably slowed production and throughput. If we were to feed 100% course material, then we would increase our recirculating load and total throughput. So a blend is always, always necessary. Blending for grade is one of our primary objectives, but blending for throughput is the key secondary objectives. In the last quarter, we did have a blend of MG3 stockpile. We saw the grade slightly uplift in the lower benches of that old stockpile and grade coming from the pit was as per the mine plan. For the remainder of the year, we'll continue to deplete that stockpile. It's probably going to reduce faster than we expected as we ramp up through this final phase with the new fleet.
Regan Burrows: Great. And just in terms, obviously, the pricing surprise the upside a bit. Perhaps one for Alex, just to talk through the market and the contracting. Obviously, Grant Isaac was talking about ceilings and floors in the $70 to $150 range. Is that what you're seeing at the moment? And how does the book sort of transform over the next 3 months, 6 months as we see sort of increased pricing going forward?
Alexander Rybak: Yes, Regan. We're very pleased with the sales results, both on the volumes and the realized prices. On the volumes, I think, some of that is a function of catching up with the sales from previous quarter. And on the realized pricing, a lot of that depends on which contracts we deliver in the quarter. So this quarter, we benefit probably from a higher delivery into the market-related contracts, and obviously, from the strengthening uranium price environment, which we've seen as a result of a lot of positive macro developments. And I think it really highlights 2 things for me. One, is that we are a producer and we benefit from the current environment through realized pricing and through cash flow. But also it's -- it really is a positive uranium market environment with a lot of factors driving, strengthening pricing. We're seeing -- to your second point on the floors and ceilings and the relevant prices, we are seeing a lot of strong inquiry from our utility customers for material on a longer-term basis. So to me, that is a really interesting development when utility customers come to you and they ask for materials in 2030s rather than the next year or 2. That to me says that utilities are seeing this structural supply-demand deficit, the internal departments are now turning their mind to contracting that longer-term supply. We're not really in a rush to contract more longer-term volumes. We're pretty happy with the way our book looks currently. Our book is very strong. It's a little bit strong performance this quarter. It will fluctuate from quarter-to-quarter, but it does retain a market-related balance with some price protection, so we're very, very happy with the way the book is performing, and we are probably taking a strategic pause a little bit in terms of Langer Heinrich contracting but we're very active in the market talking to utility customers and positioning for further contracting cycles ahead.
Regan Burrows: Great. I'll leave it there. Congratulations on a good quarter.
Operator: Thank you. Your next question comes from Milan Tomic from JPMorgan.
Milan Tomic: Just interested in the sales over the next 2 quarters, are you expecting them to be relatively evenly distributed? Or should we kind of expect them to be skewed to towards one quarter versus another?
Alexander Rybak: Yes. Look, I think, again, sales will be a function of customer delivery nomination timing as well as shipping schedules. So they will fluctuate. But I think with higher production trending towards the upper end of the guidance range, we probably expect the sales to also trend towards the upper end of the range. But there will be that variability in the timing and realized pricing.
Milan Tomic: And maybe just on the grade of the current pit that you're mining at. Can you just remind me, what's the actual sequencing plan there for the next year? And just if you can remind us of what the average mine grades that you're expecting out of those pits are?
Paul Hemburrow: Yes, Milan, we're not guiding on that level of detail. But what I will say is we're absolutely on track to reach that upper end of guidance. And -- but we do have more work to do on optimization of the mine plan to make sure that we're delivering the best value out of Langer Heinrich.
Operator: Your next question comes from Dim from UBS.
Dim Ariyasinghe: To ask the previous question in a different way. So on inventory then, are you happy with where you kind of balances [indiscernible] need to build it a little bit more [indiscernible] on where that working capital?
Paul Hemburrow: I'm really sorry, Dim, I couldn't hear your question.
Dim Ariyasinghe: Sorry, it might be mine, apologies. So if I could ask the previous question -- if I could ask that previous question just a little bit differently. Can you refresh us on levels of inventory, like you're happy, I think you have 3 months of inventory based on nameplate. Is that the sort of level you want to maintain, can we see that....
Alexander Rybak: The level of inventories fluctuate with the sales and the timing of deliveries as well as shipping schedules, obviously. The inventories have come down a little bit from 1.8 to 1.6 this quarter and they will fluctuate. But this is sort of probably a normal level of inventories at this point in time. Obviously, as we ramp up that level is expected to increase how inventories are probably around, on average, if you have a look, it's about 4 months of production. And that's quite favorable relative to other major producers who run probably at around 5 to 6 months of production on average. So we manage our inventory very tightly. And all of our inventories are earmarked for customer deliveries. So we don't sort of hold inventories for trading purposes. We deliver material into our contract book.
Dim Ariyasinghe: Yes. Awesome. And maybe just to expand on -- thanks, Alex, previous comment you made about maybe not being in a hurry the subsequent contracting, like is that more a -- yes, if you can expand on that? Like is that just more strategic in terms of letting the market come to you? Or is it just giving yourself a bit of buffer on future production or your expectations for future production?
Alexander Rybak: Yes. I think it's a function of a few things. First of all, we're obviously in the early stages of the ramp up, we produced slightly less than we expected. So our contracted position as a result, has increased and was probably higher than we initially anticipated. So we've got a little bit of catch-up there. But we do have flexibility in our book and in our offtakes to flex some deliveries up and down. So we've managed that. But then it's a strategic question. As you said, we are seeing stronger price levels, and we've always layered contracts into our portfolio. So we'd like to see a higher price level before we pursue further contracts into the longer term, particularly into the 30s where we are seeing strong demand and we're not really seeing additional incremental production coming from the market. We sort of struggled to see how the market is going to meet that level of demand. I think one interesting observation I'll make that was made to me or one of the niche brokers in the U.K. Ocean wall is, on the first of January, the new MET regime in Kazatomprom has -- in Kazakhstan has come in. And that really -- if you have a look at it, the details of it, that really disincentivizes Kazatomprom to increase production, particularly at high uranium prices. So a lot of the concerns in the market last year was because that Kazatomprom was going to increase production if prices increase. I think, this MET regime largely put those concerns to bed. So that's quite interesting. We just don't see how the market on the supply side is going to meet the forecast demand in the 2030s. So we do see further price cycle, higher price environment, and we want to leave some production uncontracted to place into that strong environment.
Operator: Your next question comes from Glyn Lawcock from Barrenjoey.
Glyn Lawcock: Just looking at the last few quarters, the plant throughput has been running around 4.8 million tonnes annualized. How is that compared to where you think you can finally get it to? Is that just -- like is it not ramping up because you just don't have the feed for it at the moment? Because I mean you've obviously got stockpiles as well. Just how should I think about that in the outlook?
Paul Hemburrow: Yes, Glyn, we're consistently optimizing. Let me sort of just go back to the project. When we refurbished the plant, one of the key bottlenecks prior to that time was failure of the plant to consistently process material that went through it. So it had lots of blockages. It couldn't handle course material. And what we did during the upgrade was change the design of the shoot, increase the capacity of the apron feed motors. And we pretty much run completely free of blockages and delays at the crushing circuit. We installed the pre-leach surge tanks to provide additional surge capacity in the case of an outage in the beneficiation circuit and all of that is working exceptionally well. What's left to do really is to make sure that we have a consistent feed type. So optimization of the blend between coarse and fines and progressively ramp up that material as it's uncovered from the pit. So I think there's more capacity that we can squeeze out of that. And it's just a matter of time and optimization. At the moment, we've got 49% of our fleet capacity, which means we have to allocate it to waste. We have to allocate it to low grade and the medium grade, and we have to manage the stockpile. With the new fleet coming that gives us more options and optimization of the mine plan may include multiple pit sources to improve the blend strategy. But there's capacity there to improve. We've just got to do the work now, particularly over the next 6 months.
Glyn Lawcock: Okay. That's great. And then maybe just you made the comment that there was a higher proportion of mine ore fed to the plant. Can you give me some sense of how much -- what's the percentage split mined versus stockpiled ore going through the plant, so the last couple of quarters? Like how -- when you say it's changing, how material is that?
Paul Hemburrow: Yes. So it absolutely depends on not so much the grade, but the type of ore that we're seeing. So I think we've spoken about it before, we talked about -- we've got wet and dry fine material, and we've got wet and dry coarse material, and we've got wet and dry clay material. And as that material presents itself in the benches, in the mine or in fact, the benches in the medium-grade stockpile, we changed the blend strategy accordingly. And we don't actually have a fixed blending strategy going forward. We address the lithology as it presents itself on any particular day and adjust it to make sure that we're continually trying to increase the throughput rate. So what that means is that as we finish off that MG3 stockpile, we need to make sure that we've got multiple sources in the pit so that we can continue to optimize that blend strategy, but we have no fixed blend strategy.
Glyn Lawcock: Okay. And then just a final question, if I could. Just as you've been mining and processing, what's the grade reconciliation being like? I mean how has the mine been performing from that perspective?
Paul Hemburrow: Yes, we've got a lot of data from the mine, and we have had for a very long time, and reconciliation is typically very good. And we're seeing our resultant grade from the pit aligned with the mine model.
Operator: Your next question comes from James Bullen from Canaccord Genuity.
James Bullen: Just quickly around the water position. Obviously, we're coming into a period where we do sometimes see some algal blooms in Namibia. Just wondering about the buffers that you've got there and your discussions with Namwater and how they're performing?
Paul Hemburrow: Thanks, James. Interestingly, there was an article recently in Namibia that the Orano desal plant has actually produced more water in the last year than any other time in its history. And which is really positive for the Erongo region in Namibia. Our system is fully commissioned, and we have our backup suppliers in the bladders but we also have opened up an additional open water storage point as well. We're not anticipating any particular challenges. We're kind of halfway through the season where we would normally see an increase in demand from the townships. We're halfway through the season where we might expect to see some sulfur blooms in the bay and things are progressing well. Given our production rates, the unit order rate consumption that we've continued to improve, we've got more than enough storage capacity on site now that will exceed any stoppage that we've seen in supply in the last couple of years. So I'm feeling reasonably positive about our capacity to manage any event that might come up in the next half year.
James Bullen: Thanks, Paul. And a question maybe for Alex and following on from Regan. Just around -- it was pretty frenetic end in terms of contracting in the term market last year. What did you learn from that? And what are you thinking really around where you could get to in terms of pricing this year?
Alexander Rybak: Yes. Good question. James, I think from last year, what we've seen is -- we've seen lower contracting volumes probably in the first 9 months of the year and then volumes kicking up in the last quarter. Last number I've seen was about 115 million pounds from UFC. And that number will probably be revised upwards as they get more data. That's a healthy level, some people thought volumes were subdued. We certainly saw a healthy level of interest. That number is relatively strong, but it is still below replacement levels. So what that says is that additional term contracting has to come in, which we expect this year and forward. And as I said already, we are getting strong levels of contracting inquiries from utilities that we haven't been getting previously like the Japanese utilities, for example, the European utilities are covering some of the holes in previous production sources. The U.S. market is very strong, particularly with some of the things that are going on there. The AI and the data centers are consuming a lot of or expected to consume a lot of electricity and some of these players are entering into significant electricity supply contracts with the utilities, we've seen Meta signed contracts with Constellation, Vistra, Oklo, TerraPower. So these are really significant volumes of electricity supply, which require significant nuclear energy generation. So all that is, to me, is very positive on the demand side across the world. Obviously, Japan is restarting reactors. The Koreans still need to fill their requirements from last year. So there's a lot of positive factors there. The volumes themselves may not reflect the kind of the strength of the term contracting activity. But definitely, we're seeing very strong levels of inquiry and strong term prices.
James Bullen: Yes. I guess the Koreans make their RFPs public, so it will be interesting to see what happens there.
Operator: Your next question comes from Rahul Anand from Morgan Stanley.
Rahul Anand: Look, most of my questions have been answered. But one thing I would really appreciate help on is in terms of your plan to obviously move more mining to the pits and what you define as basically 100% completion of that project. Within that scope, how many mining areas are you looking to open up within the pit. That's my only question. If you can shed a bit of light on that because it will help us kind of understand what type of variability we can expect going forward?
Paul Hemburrow: Well, that's an interesting question. We don't plan on guiding on that level of detail. What we will do is undertake a range of optimizations that deliver what we think is the best result, and that may be the number of excavators in a single large pit or it could be opening up several pits in parallel. So we'll continue to work through our optimization, particularly as we get the new fleet on board and commission that fleet. And we'll end up providing guidance on that around July.
Operator: [Operator Instructions] Your next question comes from Branko Skocic from E&P.
Branko Skocic: It sounds like there's a slight delay in the contract of fleet delivery and then the eventual commissioning there. So I just wanted to understand, I guess, what drove this? And did this prevent you guys from formally lifting the production guidance target above that 4.4 million pounds number?
Paul Hemburrow: No, there's no delay. Typically in Namibia, we know around Christmas, I think it's a couple of weeks before we actually have an embargo on moving heavy fleet. So that's pretty normal, which is also why the remainder of the fleet is actually at Walvis Bay, and we need to wait for the embargo to be lifted to move it to site. We always anticipated that commissioning of that fleet will occur in the first half of this calendar year. So no specific delays, no issues and absolutely on track to deliver at the upper end of our guidance range at this point in time.
Branko Skocic: Okay. I appreciate that one. And then just a point of clarification. There was no comment about loan material outstanding in the quarterly. I believe it was about 450,000 pounds as of last quarter. So I just want to confirm if it's still the same number as of today?
Alexander Rybak: Yes, that's right, Branko. It hasn't changed.
Operator: There are no further questions at this time. I'll now hand back to Mr. Hemburrow for any closing remarks.
Paul Hemburrow: Just in closing, a very strong quarter for Paladin. Really appreciate the team on site working incredibly hard, delivering outstanding results. The focus from here is to deliver a level of consistency that enables us to execute at 100% of our mining capacity, 100% of our processing capacity ready for an absolutely stellar FY '27. Thank you, everyone, for joining us today, and thank you for your support.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.